Tiffany Sydow: Good morning, and welcome to Sasol Limited's Interim Results Presentation for Financial Year '25. Thank you for dialing in and listening to our announcement. My name is Tiffany Sydow from Investor Relations. With me is Simon Baloyi, President and CEO of Sasol and Walt Bruns, Chief Financial Officer. Simon will open today's presentation with the business performance update. Walt will then provide a detailed overview of the financials followed by Simon's closing remarks. We will then have a Q&A session immediately after the presentation through the webcast and teleconference facilities. Before we get into the main agenda, I'd like to ask that you please take note of our forward-looking statement shown on the slide. Please preview this in your own time. Thank you. And now handing over to Simon to commence his presentation.
Simon Baloyi: Good day, everyone, and welcome. It has now been nearly a year since I started my tenure as President and CEO of Sasol. From the outset, I understood that addressing the challenges facing Sasol will be more like running a marathon rather than sprint. I'm pleased to share that we are making good progress in this marathon. While we continue to encounter challenges, our understanding of the obstacle we face has deepened. We now have a clear path on the way forward. We have already taken and we will continue taking decisive actions to restore the health of our business. As marathon runner myself, I know that staying on cost requires resilience, focus and discipline. In today's presentation, I will provide an overview of our journey, the progress we have made and the opportunities and the risks that still remain. Following this, Walt will delve in our financial performance in greater detail. Our journey is guided by our strategic ambition strengthening our foundation, growth and transformation. We are committed to unlocking full value and building a more sustainable future Sasol. Our short-term focus remains enhancing delivery from our foundation businesses to maximize free cash flow generation. For financial year ‘25, we have defined five key priorities to guide us on our journey. These five priorities are: first and foremost, all our employees and service providers must go home safely each day. I'm grateful we have not had any fatalities since August 2024. As a management team, we are reinforcing personnel and leadership accountability. Secondly, in international chemicals, our research journey has commenced. This will improve profitability and reposition the business as globally competitive. Thirdly, key decision to restore South African value chain have been taken with this turning as a critical enabler to unlocking performance in the near-term. Fourthly, we remain committed to a balanced and measured approach in transforming our business, ensuring ongoing value creation across all stakeholder groups. Our emission reduction route map or ERR is the blueprint to achieve that. We are refining our road map to ensure air quality compliance, reduction in carbon intensity and value enhancement for all our stakeholders. Finally, free cash flow generation is a critical for strengthening our balance sheet, as well as funding our growth and transformation in the future. These priorities underpin our ambition to strengthen the foundation business, which will support shareholder returns. We remain committed to providing a more strategic and long-term business outlook at our Capital Markets Day or CMD, and I'll share more on this agenda later. I'll now spend some time on picking our performance in the first-half of the financial year. Turning now to safety. As I mentioned earlier, we have remained fatality-free since I last spoke to you in August 2024, which is a positive step. However, our safety performance did have room for improvement, and we remain committed to ensuring a safer workplace for everyone. Our safety incidents were elevated for the first half of the financial year, largely due to the Secunda shutdown, where we have approximately 40,000 people on site, engage in various maintenance activities. No major fires, explosions and releases have been reported during the first-half. Unfortunately, we had a fire at our Natref refinery in early January. We are proactively reviewing our workplace safety systems and practices to drive a reduction in process safety incidents. Our chief fundamentals, which I outlined in August 2024, remain unchanged with a forecast on the following: one, driving a safety culture change through leader-led initiatives, emphasizing frontline engagement and accountability; two, fostering a stronger collaboration with our service providers to ensure safety standards are consistently applied and maintained throughout our operations; three, we have successfully enhanced our integrated system to streamline processes, improve visibility and strengthen risk management through centralization and standardization; and lastly, we are embedding industry best practices within our high severity incident prevention program. Our aim is to ensure safety is prioritized, integrated into everyday practices and at the forefront of everything we do. This approach will ensure that everyone goes home safely each day. I will now touch on a few salient aspects of our financial performance. We have experienced macroeconomic headwinds, which included lower oil prices, lower refining margins and lower for longer chemicals market downturn. Notwithstanding these headwinds, our operational challenges, team Sasol continue to prudently manage costs, optimize capital spend and prioritizing value over volume to counteract the impact of the internal and external obstacles we faced. Adjusted EBITDA for the period ended at ZAR24 billion, 15% lower than the previous year. Free cash flow performance improved by more than 80%, supported by proactive management actions. This is slightly below our expectation, but we expect a recovery in the second-half with all major shutdowns now behind us. The forecast for the remainder of financial year '25 will be driving cost discipline, operational stability and sustainable working capital practices to unlock cash generation. As said in August, International Chemicals commenced with a reset journey as we target various opportunities and take decisive actions to ensure robust return comparable to our peers. We are focusing on three core strategic initiatives: cost efficiency, market focus and asset optimization. These are underpinned by an expanded set of detailed levers, and good progress has been made to date. Actions in period, streamlining the organizational structures and implementing a fit-for-market operating model. We also refined value proposition for commodity positions and specialty products to prioritize higher-margin solutions. This shift from a volume-driven to a value-driven approach ensures stronger focus on margin expansion over scale. We mentioned previously that we are reviewing and assessing the performance of our global asset portfolio to ensure we maximize value over volume from all our assets. This process goes beyond just asset sales. It's about determining the best course of action to deliver value for our shareholders. Depending on the asset's performance and market conditions, this may involve fixing the asset, selling or mothballing certain assets. As part of this, we have decided to mothball three underperforming assets in Germany, Italy and the U.S. to improve overall margins and cost efficiency. These levers support our target for financial year of an EBITDA uplift of $100 million to $200 million from a financial year '24 baseline. We are targeting an EBITDA margin exceeding 10%, which brings us closer to the average of our industry peers. We will continue to target more uplift and see significantly greater potential from International Chemicals. We will share more on the next process on the next phases and targets at CMD. Moving now on to South African Energy and Chemicals. Coal quality challenges persisted, but our plans to address this has progressed well. In December 2024, we made a final investment decision or FID for a destoning solution that will enhance the coal quality supplied to Secunda operation. This solution will repurpose our existing export beneficiation plant and is more cost effective and will be implemented earlier than previously communicated. We expect it to be operational in the first half of financial year '26. Further focus remains on maximizing coal supply to operations at the lowest possible cost and best quality. To this end, we are improving our operational flexibility and deepening our understanding of the geology we are facing. We are increasing the drilling capacity and investing in critical infrastructure. Improved flexibility will allow more sections to be deployed in good geological areas. This action will assist us in improving volumes and quality. But as there's many changes to a mine plan, this will take time. The continued impact of poor coal quality and variability over the past few years has negatively impacted gasifier availability at Secunda operations. To address this, we are increasing maintenance efforts for a general overhaul of our fleet of gasifiers to improve availability. Once complete, we anticipate the full benefit of destoning of the -- once completed, we anticipate the full benefit of destoning on production volumes by the end of financial year '27. However, we will start to see the benefits of destoning as soon as the plant is commissioned. At Natref, I am pleased to announce that we have successfully completed repairs following the fire in January 2025, and the refinery is now back online. Within our gas business, we took FID on the junction compression project and our PPA license in Mozambique. This project supports the gas plateau extension as well as the extended natural gas supplied to customers until mid-2028. Beyond this, South Africa will need to transition to LNG as the only viable solution for the external market. There is no more possibility of any further extensions from existing Mozambican resources. In fuels, our marketing and sales team increased sales volumes in the higher-margin mobility channel compared to previous year despite a downward trend in the market. This growth underscores our strategic focus on optimizing channel mix to prioritize higher-margin market channels in both fuels and chemicals. In fuels, this pertains to the shift to our higher-margin retail sales, while in chemicals, it is about placing products in regions with the highest netback price. This helped Chemicals Africa to achieve a higher average basket price. Looking ahead, we are optimizing external spend by improving how we manage our costs and contracts without compromising on maintenance. This, together with our latest forecast to achieve the production of between 6.8 million tonnes and 7 million tonnes at Secunda operations, will support achieving an oil breakeven cost of below $60 per barrel for financial year '25. Further details on volume uplift and cost reduction will be shared at CMD later this year. A key priority is to transform our business responsibly. That involves delivering on our responsibility to reduce our carbon intensity, but in a way that delivers value and supports economic growth in South Africa. As I previously said, our ERR is the blueprint to achieve that. Our GHG reduction target for Sasol Group remains unchanged, 30% by 2030. To be clear, we have not changed what we are aiming for, but we have optimized how we're going to get there, making sure we protect value along the way while remaining compliant with air quality legislation. Initially, our roadmap was built on 4 key levers, which included the use of LNG as a transition feedstock. As we said before, the higher market pricing of LNG makes it uneconomical to use for own production. We had to adapt our road map, ensuring that we remain on track while responding to evolving market conditions. All the other levers remain unchanged, including energy efficiency and the integration of renewable energy. We have made good progress on our renewable energy commitment. To close the gap, we are now considering renewables in excess of 1,200 megawatts as well as other value accretive business-building opportunities, like sustainable carbon feedstocks and carbon assets to reduce our emissions. To ensure we preserve value, our ERR is maximizing Secunda operation production for as long as possible with no planned turndown in volumes. Our optimized roadmap is set to restore Secunda operation to 7.2 million tonnes per annum in financial year '30, a significant step up from the previously communicated 6.7 million tonnes per annum. However, as natural gas declined, we expect production to decrease beyond 2024, and we will optimize the site to ensure it remains profitable. The reverse roadmap has lowered our capital requirements to between ZAR11 billion and ZAR16 billion from our previous range of ZAR15 billion to ZAR25 billion. There's still potential for further reduction as we continue to optimize our roadmap. We will review this approach going forward in conjunction with the evolving macro and regulatory landscape, including carbon tax and policy direction. At Sasol, we welcome the latest developments on carbon tax in South Africa as proposed in February 2025 by that review document, which recently became available. This is a positive outcome not only for Sasol, but for the broader South African industrial sector, supporting sustainable and pragmatic transition efforts going forward. The revised ERR ensures that Sasol remains integral to the South African economy as we pursue a just transition at the pace aligned with market demand, focusing on protecting jobs, supporting the communities we operate in and maximizing stakeholder value. Our business has far reaching multiplier impact across various sectors and the communities which we operate. Through direct and indirect impact our integrated value chain supports around 500,000 jobs and contribute approximately 5% to the GDP and 12% to the national tech space. Beyond our economic contribution, our social impact is significant. Sasol has been ranked as the third largest social investor in South Africa, reflecting the tangible impact we have in changing people's lives. Over the past five years, we have invested nearly ZAR3 billion in socioeconomic development programs, including community health investments, infrastructure and skill development programs. Similarly, our education programs have impacted over 10 million learners globally with the Sasol Foundation awarding more than 2,900 bursaries to underprivileged students. These efforts reflect our dedication to driving meaningful change, not just in the economy, but in the lives of the people we serve, reinforcing our commitment of being a force for good. With that, I'll now hand over to Walt, who will unpack our financial performance.
Walt Bruns: Good morning, everyone. I'm honored to be with you today to present my first set of financial results as Sasol Group CFO. I've been with Sasol for more than 15 years working across a number of our businesses. I understand our value chains and believe strongly in the potential of our portfolio and our people. Before diving into the numbers, I'd like to outline my key priorities as group CFO. As we strengthen our foundation business, a key priority for me is improving our free cash flow generation to deleverage our balance sheet and create financial resilience. We have several levers to achieve this, including the initiatives outlined by Simon, but beyond that, I am strongly focused on driving operating and capital cost discipline. We are already seeing early progress, which I will discuss today. With a stronger financial base, we can shift our focus towards growth and transform, which will be informed by a strict capital allocation framework. This will create healthy competition for capital driven by economic returns while driving excellence in execution. By taking this approach, I'm confident we can build a more resilient business, which together with robust risk management, creates a clear path to sustainable value for all of our stakeholders. Turning to our results for this first-half of 2025. The macroeconomic environment remains volatile, difficult to predict and impacting us in different ways. The lower rand oil price and refining margin negatively impacted the results of our fuel segment, while the higher chemicals basket price and U.S. ethylene margins supported the results of our chemical segments. In Europe, natural gas prices remain above pre-ore levels and continue to put pressure on the profitability of our European chemical business, requiring us to continually review our asset portfolio in the region. Looking ahead, we expect the volatility to continue, driven by uncertain global market sentiment and ongoing geopolitical tensions. How we respond to this volatility is key to our success, and we need to be agile and proactive in our response by continually looking for opportunities to optimize margins while maintaining stringent cost and capital management practices. Our overall financial performance in the first half reflects the impact of the volatile macroeconomic environment with gross margin declining by 11%. This was driven by a 10% reduction in turnover as a result of the lower rand oil price and a 5% decrease in sales volumes associated with lower production and weaker market demand. Lower variable costs helped to keep the gross margin percentage stable at 45%. Cash fixed costs decreased by 1%, supported by our ongoing transformation initiatives. Our adjusted EBITDA for the period was 15% lower as a result of the lower gross margin. Earnings before interest and tax was further impacted by non-cash adjustments, most notably a net loss of approximately ZAR6 billion from remeasurement items. This was mainly due to further impairments in the Secunda and Sasolburg liquid fuels refinery cash-generating units, which remain fully impaired. These impairments were despite the significant improvement in the recoverable amount of these and other cash-generating units within South Africa as a result of the optimization of the South African ERR that Simon mentioned, and largely due to the negative impact of lower forecast macroeconomic price assumptions. On the positive side, free cash flow increased by 84% compared to the prior period despite lower EBITDA and mainly due to reduced capital expenditure, taxation paid and a positive movement in working capital. Net working capital as a percentage of turnover increased due to higher inventory to manage the current supply variability and improve the customer experience. While the improvement in free cash flow is an important proof point, free cash flow remained negative for the first-half of the year. Further improvements are expected in the second-half of the financial year, consistent with previous years, with the first-half of the year traditionally impacted by seasonal shutdowns and higher associated capital expenditure. Our portfolio continues to benefit from both business and geographical diversification, which is helpful in navigating the current market volatility. In the first-half, we saw the adjusted EBITDA from international chemicals increased by more than 80%, helping to lift their contribution to the group adjusted EBITDA from 6% to 13%. This was supported by a combination of targeted management interventions and improved margins in especially the U.S. market. Continued delivery of our action plan should further increase the contribution going forward. While our Southern Africa business remains the primary driver of group EBITDA at almost 90%, the relative contribution was impacted by lower rand oil prices and production volumes. As mentioned by Simon, we are progressing our self-help levers to strengthen this business. Now shifting our focus to the variance in adjusted EBITDA across our business segments compared to the prior period. Starting with Southern Africa Energy and Chemicals, the Mining segment delivered improved earnings, primarily driven by a revision to pricing in the coal supply agreement with Secunda operations. This, however, resulted in higher feedstock costs for both the Fuels and Chemicals Africa segments. The gas business saw a 71% increase in earnings driven by a combination of higher gas prices and volumes. Increase from production from the PSA is helping to sustain volumes as gas from the PPA naturally declined. In Fuels, earnings declined by 61%, driven by lower product prices, lower production volumes and higher feedstock costs. On the positive side, sales volumes in the higher-margin mobility channel increased by 4%. In Chemicals Africa, earnings declined by 14%, largely due to lower Secunda production and higher feedstock costs. This was partially offset by a higher average basket sales price. In addition, differentiated chemical sales volumes were 4% higher due to improved production in Sasolburg. Turning to International chemicals. We saw a strong improvement in the first half across both segments with increased focus on value over volume. Chemicals America reported a 77% increase in earnings, supported by improved U.S. ethylene margins and cost reduction initiatives. The east cracker, which came online in November after an extended outage, is expected to support further margin improvement in the second half of the year. Chemicals Eurasia delivered more than 100% increase in earnings but margins remained structurally low, given the current higher feedstock and energy costs. As I said earlier, improving our capital structure and maintaining capital allocation discipline is critical to improving our resilience. With that in mind, there are a few key points to highlight. Our first order capital allocation includes maintaining and transforming our existing operations, while pushing for more efficient and effective capital spend. We have managed to achieve this in the first-half of the year with a 6% reduction in spend. We will continue to progress our transformation plan at the appropriate pace and reduced capital spend that Simon outlined earlier, but it must generate economic returns to support its investment. From a financial stability perspective, the company's dividend policy is based on 30% of free cash flow generated, provided that net debt, excluding leases, is sustainably below $4 billion. Free cash flow for the first-half of the year is a deficit of ZAR1.1 billion, and the net debt at 31 December 2024 is $4.3 billion and as such, exceeds the net debt dividend trigger. Therefore, the Sasol Limited Board of Directors has made the decision to pass the interim dividend. While the second order capital allocation allows for a choice between debt reduction, growth capital and/or shareholder returns, the clear priority at this stage is gross debt reduction as evidenced by the $300 million payment into the revolving credit facility during the first-half of the year. Looking at the outlook for the remainder of the financial year '25, this slide outlines the key drivers and metrics that we are prioritizing. Our first priority is delivery of our volume recovery plans to ensure we meet our volume guidance. Secondly is to maintain cost and capital discipline by keeping our cash fixed cost increase below inflation and meeting our previously guided targets for both working capital and capital expenditure. From a financing perspective, we are planning to bring net debt below $4 billion by the end of the year. Robust risk management remains critical in these volatile times. To further protect the balance sheet while managing costs, we have temporarily extended our hedging program horizon for both oil and rand-dollar exchange rate from 12 to 18 months. We have also increased our hedge cover ratio to 25% to 40% in financial year '26. In terms of progress, we have completed 100% of our hedging program for financial year '25 and more than 85% for financial year '26. We will continue to monitor and adjust the hedging program as required. In summary, we are committed to driving continued business improvement with the goal of enhanced cash generation, deleveraging and creation of sustainable shareholder value. We understand that we need to deliver on these objectives and in so doing, build our credibility and earn your trust. I will now hand over to Simon for his closing remarks and look forward to responding to your questions in the Q&A session later.
Simon Baloyi: Thank you, Walt. We shaped our financial year '25 priorities to improve the fundamental of our business, and as Walt said to make sure we translate this into stronger financial foundation. The people of Sasol remain our greatest asset, and I want to thank team Sasol for their resilience, dedication over the past few months. We will continue to safely pursue operational and commercial excellence, while enhancing our cost competitiveness. Our customers are central to our success, but we must also ensure that we create sustainable value for Sasol. To achieve this, we are actively reviewing contracts to drive efficiency and maximize value for Sasol and our customers. As outlined earlier, we are continuously evolving our ERR to ensure that sustainability and economics go hand-in-hand. This journey is a marathon, not a sprint, and we have now reached our first water point. We understand that the route ahead, we understand that the route -- we understand the road ahead. We will remain disciplined and focused to deliver on our commitments. We will be providing more information and clarity on our strategic agenda at our CMD plan for May 2025. Importantly, we will drive deeper into the progress on our initiatives to strengthen our foundation businesses to improve our competitiveness. International chemicals is a world-class asset, and I look forward to sharing more progress on how a strategic reset will improve financial returns going forward in the longer term. A core focus of our growth and transformation strategy is building a strong pipeline of new business building opportunities. We’ll highlight some of these and how we are leveraging them to navigate the energy transition in a value accretive way. Lastly, we will share how our financial framework will support improving our financial resilience and set up a pathway for attractive, sustainable long-term returns. It has been a busy first half for team Sasol, and I'm excited about the progress we've made and we will make in the coming months. It's been a pleasure to present Sasol's results today. My executive team and I look forward to further discussion in their conference call shortly with you. Thank you. [Music Playing]
A - Tiffany Sydow: Good morning, and welcome to this question-and-answer session for Sasol's 2025 interim financial results. In addition to Simon and Walt, we also have other members of Sasol's Group Executive Committee with us in the room today. On my right, to my far right, Victor Bester, who's our EVP of Operations and Projects; Antje Gerber, who is EVP of International Chemicals; and Hermann Wenhold, EVP of Mining, Risk and SHE. Also participating online, we have Vuyo Kahla, EVP of Commercial and Legal; Christian Herrmann, EVP, Marketing and Sales; Energy and Chemical Southern Africa; Sarushen Pillay, EVP of Business Building Strategy and Technology; and Charlotte Mokoena, EVP of Human Resources and Corporate Affairs. You may submit your questions online through our streaming platform on the right hand side of the screen, you will find a dialogue box which you can input your questions. Alternatively, you can also dial-in via our chorus call. There's a link provided where you will have the opportunity to voice over your questions once prompted. I will be alternating between these two platforms to give everybody a fair chance to participate. We'll start with the first set of online questions that have come through the platform, focusing mainly on the Southern Africa operations. I think Simon this one goes to you, I'll maybe ask two questions to kick off the session. The first one coming from Adrian Hammond and Thobela Bixa from Nedbank. How much would the destoning project add in terms of coal volumes, revenue uplift, cost savings or EBITDA uplift? Which other options were considered in improving mining volumes, i.e., was a new mine considered, given the variability of your coal production? The follow-on, impact on Secunda operations, how do you plan to maintain Secunda volumes beyond 2028 when your gas volumes are expected to start declining while reaching your 30% CO2 reduction target? That also comes from Thobela Bixa from Nedbank.
Simon Baloyi: Thank you, Adrian and Thobela for your questions. I'll start first with the 2028 question. I will then give a quick brief opening on the destoning project and allow Victor, I mean, to come in and then Sarushen to also talk about the various levers that we're considering to reach the 30%, then we can cover both questions. Starting first with the 2028, you remember is the gas does go into the market. That will end in 2028 and the gas for our own use, that we have until 2034. And as I said during my presentation, what we're going to do beyond 2024 as that gas declines, we will be able to make sure we reposition and reset our business to keep it profitable. So that's how we're going to deal with 2028. 2028 is more important for the customers, because we need the South African landscape to move over to LNG as previously communicated. Adrian and Thobela, thank you on the volumes. The question on the volumes, you remember our objective is to restore the South African value chain back to the 7.4% to 7.6% range depending on the shutdowns that you do. The destoning project helps us to address the quality. I'll let Victor come in, in a moment to talk about how he sees that evolving. Victor, maybe let's address how we go in the next three years, how do we see ourselves going from where we are now to the 7.4% to 7.6% range.
Victor Bester: Thank you, Simon. I think when it comes to destoning, we investigated various options to improve the coal quality to Secunda. As you may recall, we considered a greenfield destoning project, which would have costed us a significant amount. I think through our engineering efforts, we landed on a solution, which is quite elegant in terms of capital cost, but also a proven technology that we currently operate at our Twistdraai export plant. The intent is really to repurpose that plant to reduce the sinks content from two of our collieries, which is Impumelelo as well as Bosjesspruit. I think combined and blended into our coal blended Secunda operations, this will lower the stone contents to gasification below 12%. This is where we've historically operated in terms of sink's content in the feed to gasification. This solution in its own, as you would have seen, will cost us under ZAR1 billion to implement with a significant NPV value. I think if we look at gasification in terms of its performance over the last few years, it has really seen an increased wear and tear, right, due to stone in the coal content. And we expect immediately after the destoning project is implemented in the first half of FY '26, that gasification will see an improved yield. But obviously, I think due to the higher wear and tear, we need to do some maintenance to restore the gasification fleet. And upon doing that, gasifier availability will simply become a multiplier on our route to taking gasification or SO production to its historical levels of 7.6 million tonnes. I think, Simon, I hope that responded to the question in the way that Adrian has asked it as well as Thobela.
Simon Baloyi: Thank you, Victor, and Adrian and Thobela. Just to close off your questions, we're continuously considering all options to supplement volumes from our own production. Whether it's, I mean, mining the coal ourself or buying the coal from the market, we continue to do that in the most cost-effective way. Establishing a new mine, I mean, that takes time, and we will consider, as I said before, that coal in the short to medium term still remains a critical feedstock that we need. If we need to establish a new mine, for instance, to replace a mine like Bosjesspruit, which is coming to the end around 2032, we will do so. But before we trigger an investment in a new mine, we'll make sure that we assess all options of whether we can produce the coal ourselves or we can buy the coal from the outside. And we'll do that and choose the most cost-effective route.
Tiffany Sydow: Thank you, Simon. Did you want Sarushen to add anything?
Simon Baloyi: Sarushen, you can come in on that 30% in terms of the levers, then we can also preempt that question, how the levers will evolve as the circumstances change.
Sarushen Pillay: Thank you, Simon, and good morning, everyone. So as Simon said, we're continuously optimizing our ERR. And a part of this optimization talks to how we then look at what we do within our factory premise and what we do outside. And really, our focus has been now on how do we then ramp up production in Secunda through the optimization of the ERR. And in this regard, we've optimized our fine coal solution and the steam and condensate solutions that we do on site, while pushing harder on some of the other levers, like increasing renewables, so we are targeting well in excess of 1,200 megawatts. And this will be both embedded generation, PPAs and wheeling agreements. We're developing all these options. We're also looking at enhanced energy efficiency as we see improvements in coal quality. We expect that our steam and oxygen demands will reduce, and our energy efficiency will improve. And then we also are looking at sustainable market mechanisms. So these are things like renewable energy certificates and offsets to then complement our ERR. But we will balance all the available levers that we have as we head towards this target of 30% and do whatever we need to do to then come to an economically optimum outcome in our achievement of this 30%.
Tiffany Sydow: Thank you, Sarushen. I think while we are talking about the ERR, there are a few more questions on this topic, so let's move to that. The first question from -- or two questions from Tabo at the fund. The revised ERR seeks to incorporate the use of sustainable feedstocks provided they are cost competitive. Should this not be the case? What will the impact -- what impact will this have on the ERR targets to be achieved? And the second question is on mining. There was a mention that mining will increase drilling to improve the quality of mined coal. Is this done as part of an exploration program to increase reserves or prioritize mining targets within the existing reserves? Has Sasol reviewed its position on increasing coal reserves as part of a reviewed ERR strategy? Thank you, Tabo, for your questions.
Simon Baloyi: Tabo, thank you. Like I said during my presentation that our commitment to regulatory compliance and the environment remains that Sasol's group target of 30% by 2030 remains. So as we revise the ERR, we are not, I mean, increasing the coal reserves. As we've said before, we've got enough coal reserves for a time frame up to 2050 or so. So the drilling program and it's key aim is to ensure that we can map up exactly where we need to go to balance the quality that comes out of our mines. So that's the main purpose of the drilling, it's not drilling for exploration, but drilling for us to map up and understand the geology that's facing us. So that answers your second question. Then the first one, Sarushen has covered it adequately. For us, this is a dynamic process. We're going to make sure that we keep on exploring on all the levers and targeting them higher, so that if some of the levers don't work, we can supplement with other ones. But our core focus is in making sure that we maximize Secunda production and protect value for all the stakeholders.
Tiffany Sydow: Thank you, Simon. Anything you want to add on the mining question or you...
Simon Baloyi: No, covered that.
Tiffany Sydow: Okay. Great. If we can move to Chorus Call, please. There are two callers that are lined up. If we could start with Chris Nicholson.
Operator: Thank you. Question comes from Chris Nicholson of RMB Morgan Stanley. Please go ahead.
Chris Nicholson: Hi, good morning, Simon, Tiffany and Walt team. Yes, a couple of questions around destoning, if I may. So the first question really speaks to the fact that you've taken FID on the destoning plant. Understand that you have a ramp-up target towards 7.5 million tonnes. You've also talked about optimizing that emission reduction road map to 7.2 million tonnes longer term. Now that you have both of those, I wonder whether those affect your impairment calculations? My understanding is you're obviously still carrying the Secunda's fuels volumes at zero effectively and you continue kind of impairing what you spend. Why haven't we seen a write-back of impairments now those two have been taken? That's the first part. Second part, just on destoning, the export coal, the coal that you've previously been exporting, does that get diverted to some fuels pretty much from today? And does that have any near-term impact on quality? I would certainly imagine that's high energy content coal. And then last question around destoning, just your Richards Bay allocation, your railway allocation. Will you be selling that now? And what would that be worth? Because it doesn't look like you'd be -- have any use pretty more? Thank you.
Simon Baloyi: Yes, thank you. Thanks, Chris, for your questions. Let me start and then I'll allow Hermann to answer the questions on destoning, both of them in terms of the FID and then the export, Hermann can adequately cover that. I mean, Chris, the destoning project is to make sure that we restore the quality of coal that goes to Secunda operations. And I think Hermann will elaborate in terms of how we look at that. And that will cover as well our position on the Richards Bay coal terminal because that coal, coming out of that mine, as you remember, we've previously said, I mean, around '26, '27, was actually not becoming export quality anymore. So Hermann, let's go to you and cover fully the destoning, then I'll just start on the impairment and later, I mean, cover it fully as well.
Hermann Wenhold: Thank you, Simon. I think it's important that one realizes that the export quality coal from our Thubelisha colliery, the yield associated with that coal or with that reserve base will actually reduce to the low-20% level from the current 30% level. So that actually makes the export business and to export that reserve, it doesn't make it viable anymore, and that is happening within the next two years. So having that as a coal reserve, we know the coal is gasifiable as the middlings coal has gone to the Secunda operations up to now. We've taken the option to repurpose the Twistdraai export plant and then to destone the entire Thubelisha fleet -- the entire Thubelisha feed to Secunda operations, that will bring about that we will have a discard that will go to our destoning or the discard dumps. I think from a perspective of RBCT shareholding, we will still keep that shareholding in RBCT, and we will be leasing it out for the short to medium term.
Simon Baloyi: Yes, thank you, Hermann. Chris, on the impairment, I mean, as you'll recall, the Secunda value chain has two CGUs that intertie and interlinked the chemicals CGU and the Synref CGU, which is our refinery portion. And the CGU that's being impaired is the Synref CGU. So with the revised or optimized CRR, we actually had a significant value uplift on both of those CGUs. However, there's still a small gap on the Synref CGU, and we're working hard on that one. I'll allow Walt to elaborate on that.
Walt Bruns: Thanks, Chris. Yes, I think so just to further elaborate just on Simon is on the -- we did see the uplift from the ERR, but we also adjusted our macroeconomic assumptions more longer term. So oil prices are lower, the rand is slightly stronger and then some of the product differentials are low. So we had that impact coming down. I think just to clarify one thing, just on the CGU, Simon, it's -- there's chemicals. There's a number of CGUs within chemicals itself. I think they're about six in total within the Secunda space. So the good news is on all of those impairments -- I mean all of those CGUs, we saw a significant increase also in the value and use. And so we remain focused on how do we further optimize our capital and cost spend on the ERR to, first, as one step stop the impairments of the capital that we're spending, and as a second step potentially reverse the impairments at a later stage. Thank you.
Tiffany Sydow: Thank you. I think we can move to the next question on Chorus Call.
Operator: Thank you. Next question comes from Gerhard Engelbrecht of Absa CIB. Please go ahead.
Gerhard Engelbrecht: Good morning and thank you for the opportunity. I have a number of questions. I just want to clarify, Simon, you mentioned a CapEx number, lower CapEx, ZAR11 billion to something ZAR16 billion or something. Does that only refer to the transform CapEx? And secondly, can you give us maybe some guidance as to what your maintenance CapEx or your overall CapEx budget looks like for the next five years? Is it coming down quite significantly? So just the normal maintenance CapEx. I've got questions around feedstock, coal and gas. With Bosjesspruit running out, when will you have to make a decision on a new mine? What is the lead time? I'm just trying to understand that. And also, Isibonelo, so how long you say you've extended the contract, for how long? And then I'm just curious about gas, the last question. The plateau hasn't been extended beyond 2028. It doesn't look like there are more reserves. So what is the impact of extending sales to your external gas customers? What would the impact of that be on your own operations, given that nothing else might have changed?
Tiffany Sydow: Thank you, Gerhard.
Simon Baloyi: Thanks, Gerhard. Let me start on the gas, then I'll allow Hermann to cover both Bosjesspruit and Isibonelo in terms of the time lines that we need there. And then after Hermann does that, I can close with your -- I mean, the transform capital in terms of how we think about that. I think first, I mean, Gerhard, the five year outlook on CapEx, we will give you that at CMD. I think it will be prudent to do that. Firstly, on gas, the impact, I mean, as you know, if you look at Secunda running at 7.6 million tonnes, usually, gas accounts for, I mean, 500 to 600 kilotons once your quantity is fully fixed. So if were to expand, which we will not consider about, I mean, maximizing value for all the stakeholders that will be the impact. I mean that gas runs out in any event. So for us, I just want to reiterate it's about making sure that the country moves on to LNG and LNG comes in. So that's the first on gas. Hermann, can you please cover the two on Bosjesspruit and Isibonelo.
Hermann Wenhold: Thank you, Simon. Good morning, Gerhard, I think it's important to note that we have enough options to supply coal to Secunda operation up till FY '29. Those options consist of our current reserves that have already been deployed or opened and ready to be mined. It also includes Isibonelo and it also includes other suppliers that are delivering coal via road. So that we have enough coal up till FY '29, and we have commercial contracts in place that can also be extended to make sure that we have the coal up to '29. All commercial contracts for coal supply for FY '26 is already in place. And as I said, we can extend those. For now, we have extended Isibonelo up till the end of the '25 calendar year. So we've extended their supply base with six months. To extend further would entail a lot of work at Isibonelo. And we are, at this point in time, having commercial discussions considering coal quality as well. The lead time on a new mine Bosjesspruit's closure, depending on the quality of that colliery, will be a tail from about FY '28 onwards till approximately FY '31, '32. To replace that mine, the lead time for a decision on that mine is from now between 18 months and 24 months. Please take note that we've progressed well with studies on our existing reserves, mainly the Alexander reserve. And we are also, at this point in time, evaluating commercial proposals from the market to potentially also supply coal from FY '30 onwards. So that processes are well progressed, and we will take the final investment -- well, choices and then final investment decisions or commercial choices within the correct time period that's required.
Simon Baloyi: Thank you, Hermann. Finally, Gerhard, on your question, on the ZAR11 billion to ZAR16 billion, you're right, this is a reduction over the period. So this does has a potential to impact, I mean, our overall CapEx number. We're working on it. Suffice to reemphasize that our key focus will be making sure that when capital is set free that we prioritize the balance sheet. However, that will have to balance with, I mean, both growth and transformation. But the balance sheet will be, I mean, our key and number one priority to strengthen it as Walt said.
Tiffany Sydow: Okay, thank you for your set of questions, Gerhard. I'm going to move back to the online platform, and we've received a number of financial-related questions, which I'm going to direct to Walt. Adrian Hammond from SBG and Sashank Lanka of Bank of America have both asked a question on carbon tax. Given the latest budget speech, like not really a budget speech, but what carbon tax savings can you quantify for us? And then another question from Adrian around restructuring the large offshore debt, given the majority of earnings are in South Africa. And given the uplift in your assumptions for Synfuels volumes post 2030, is there a possibility of reversing impairments? I think let's pause there.
Walt Bruns: So I think first on the carbon tax. We've been working closely as part of the public engagements with National Treasury on carbon tax. The impact of that phase 2 document that was released in November had a significant impact on our overall free cash flow generation in our South African business. We currently pay -- the carbon tax for us is about ZAR 1.8 billion a year. That number would have quadrupled by the end of the decade with the revisions or the proposal that are included in the budget's documents that we've now seen, but will be presented again in March. That number obviously reduces significantly to what we previously calculated. In terms of -- should I just handle the other -- I think on the impairments, I think we've covered that with my answer to Chris. At first stage is to stop impairing the capital that we spend in the first half of the year. We believe there's further opportunities that we can do if we look at cost and capital with regards to the ERR, particularly post 2030, and how we set that business up to be competitive and successful and that we will share more of that as we get to Capital Markets Day. And then in terms of restructuring the large offshore debt, I think you're right. I think if you look at the split at the moment, more than 90% of our debt is sitting in U.S. dollars and 90% of our earnings are generated in South Africa, so we have a mismatch. We're currently looking at different refinancing options. The reality is the South African debt market is just not big enough to absorb that quantum. But having said that, we think that together with some of our partners, we can look at how we structure that slightly differently. First price, to be honest, is to reduce the amount of debt that's on the balance sheet, and that's part of our driver on the free cash flow generation.
Tiffany Sydow: A couple more just around the ERR CapEx range, which I think Simon has already addressed. But there is some clarity required from, I think, Sashank and both Tabo from the fund, just on the range of capital. So we've -- the question is, you've narrowed your maintain and transform CapEx target range from ZAR27 billion to ZAR34 billion down to ZAR28 billion to ZAR30 billion for this year. So detail on that? And then I think just some detail about the lower ERR CapEx, and does this relate -- purely does the lowering of capital from ZAR25 billion to ZAR16 billion on the ERR relates solely to the revised ERR or total for first order capital spend? I think there's just some clarity required there.
Walt Bruns: Okay. So I think first on the -- I think on the ZAR27 billion to ZAR34 billion versus the ZAR28 billion to ZAR30 billion, the ZAR27 billion to ZAR34 billion was a Sasol 2.0 target that was then -- so that was often FY '20 baseline and then escalated, I guess, in real terms to 2025, the ZAR28 billion to ZAR30 billion -- sorry, it's an annual average. The ZAR 28billion to ZAR30 billion is our FY '25 outlook that we're providing for this year. And you'll see we spent roughly ZAR15 billion in the first-half of the financial year. So hopefully that clarifies that. I think in terms of the longer-term capital range, Simon has already alluded to that, we'll share more details in Capital Markets Day. But it goes without saying, we're pushing for a reduction in our first store capital and not by doing maybe less, but just how do we do it more cost effective. In terms of the transform capital, if you remember, the previous guidance was ZAR15 billion to ZAR25 billion over a five-year period to support the transfer -- the ERR. Our latest estimate is the ZAR11 billion to ZAR16 billion. So it's roughly ZAR10 billion to ZAR 15 billion adjustment on the CapEx for the emission reduction roadmap and the change in the pathway.
Tiffany Sydow: Great. Walt, a couple more for you, just on the balance sheet and around capital allocation. Shane Watkins from All Weather is saying that there's insufficient value unlock from the operational improvements. In his view, what assets can you sell to reduce debt? And then I think just some clarity around the gearing of oil, which Alex Comer from JPMorgan has highlighted has decreased from about ZAR850 per barrel. Just extend, why are you not hedging more oil? I think there we need to just give clarity on that. And then some plans around refinancing and Sasol debt maturity profile going forward.
Walt Bruns: All right, cool. Okay, so thanks, Shane. I think on the operational improvements, I think we do see significant opportunities to generate free cash flow. We have a lot of latent potential in a number of our assets, not only in Southern Africa, but also in our international chemical space. And so that's our focus right now is how do we -- through a combination of selling out and selling up those assets, taking some of the cost out that we can unlock value from those businesses. Selling assets right now, I mean, it's an option. We can always look at it. And we have, as shown in the past, but the valuation that we feel, especially on some of the international chemical assets would not be justifiable at this point. And our focus is getting the runs on the board for ourselves that we show that we are still the best owners of those assets and can get the best value from those assets. In terms of the debt maturity profile, our most immediate maturing is a U.S. bond, $650 million that matures in September of 2026. We are currently looking at our plans with regards to refinancing that. And obviously, we'll share more details as it becomes appropriate. And then thanks, Alex, on the sensitivity to oil. So I sat with the team and we looked at the correlation coefficient of our chemical prices to the changes in the oil price. And over time, especially over these last two to three years, the linkage between chemical prices and oil has not been as strong as before. If anything, chemical prices are much more driven by demand supply dynamics in the different regions, but especially in China. So our sensitivity, the correlation wasn't as strong. And then in terms of hedging oil forward, we have hedged oil more forward. We haven't changed the barrels that we hedge. So even the linkage that I've mentioned, the link to chemicals is lighter, but we've also gone further out and so now hedging 18 months out. So you'll see in the details of our analyst book that we've almost completed more than 85% of our hedging program for FY '26 already and also the -- obviously, it goes without saying that FY '25 was already completed. Thanks, Tiffany.
Tiffany Sydow: Great. Thank you, Walt. I'm going to move to Chorus Call. There's one more question in the queue, please.
Operator: Thank you. Next question comes from Alex Comer of JPMorgan. Please go ahead. Alex, your line is open. You can ask your question. Alex, your line is open. You can ask your question.
Alex Comer: Alex, are you online? I think we can look back to him later. I think the next set of questions is around our international chemicals business. I will direct those to Simon. A couple -- I'll just ask three questions at a time. Any updates and plans with regards to the disposal or IPO of the International Chemicals segment, from Lorenzo Parisi at JPMorgan. Can you elaborate on reasons for mothballing some of your international assets as opposed to divesting these operations? That comes from Peter Comber at Merger market? And the last question on International Chemicals. The guidance of $100 million to $200 million EBITDA uplift seems very bullish given a weak half one. Can you explain what is driving this, also from Alex Comer.
Simon Baloyi: Thank you. I'll start and Antje, I will allow you to come in, especially on the reset, what we're doing there. We can cover the $100 million to $200 million, you can also deal with the mothballing of the assets, what's driving that. Then maybe let me start with the first one. On the IPO, like we've said and Antje will elaborate now for us, it's about first resetting and optimizing the business to make sure that we can restore the cash flows and generate value. And once we're doing that, then it will give us opportunities to exercise various options, which might include partnering or even an IPO. So that will depend on how we're going to progress on -- I mean, and the speed that we progress in terms of resetting the business, and we're going to share the whole evolution with you at CMD. And I think with that, I'll let Antje to come in and answer your two questions in terms of the reasons for mothballing and why we feel confident about the $100 million to $200 million uplift on FY '24 performance.
Antje Gerber: Thank you, Simon, and thank you for the question, Peter, about mothballing of our assets. So as Simon has referenced earlier in his presentation, we have various levers, which we are addressing at the moment to improve the profitability of International Chemicals footprint. One of those is kind of reassessing the asset landscape, which we are operating in and addressing at pace, also those loss-making assets, which we have carried on for a while. Where we've not seen that we can turn around those assets into profitability quickly because of demand or capacity utilization. We have taken the tough decision to mothball and stop the bleeding at the moment. That doesn't kind of refrain us from taking other steps in the future. That means, if the market picks up, we can bring these assets back to operations, but also kind of we could still look into selling those operations. That's the first point. The second one, Alex, coming to your question about being bullish of the $100 million and $200 million uplift for the entire fiscal year of Sasol in International Chemicals. If you look at our results year-to-date or for the first-half of the year, we have almost doubled our EBITDA coming from $86 million for the first-half of fiscal year '24 into $162 million into the first-half of this fiscal year. So we have started our journey only a few months ago in transforming this business. We are pulling through all the levers, and we see still opportunity for cost improvement, but also margin improvement of the business. And therefore, we don't think this is a bullish number but an ambitious one, and we are confident that we will achieve that.
Tiffany Sydow: Great. Thank you. I think there's a few more questions around our destoning and coal purchases. I'm going to read Jesse Armstrong from Fairtree has asked quite a few questions in one. I'll maybe just read through and we can deal with those thereafter. The immediate plan to lower coal purchases by rerouted export coal to Secunda operations to add to or add that in addition to current external purchases around 9 million tonnes. I think, clarity around what our forward-looking plan is on coal purchases? The gasifier time line, for full repairing of that. And once destoning is up and running, what is the total coal intake you're aiming for, including both own coal and external purchases? And a question around the total capacity being processed through the destoning plant per annum and which mines will go through the destoning, which mine's coal will go through the destoning plant?
Simon Baloyi: Thank you, Tiffany. I'll allow Hermann to handle those questions. Suffice to say that our key focus is on restoring the coal quality. We have to do that. We've seen the impact of what this has done in terms of the volumes where in the last four years, we've ran at around 7 million tonnes. We've seen the impact of what that has done to our equipment in terms of, I mean, putting coal quality, which is not desired for the gasifiers. We've seen how that has impacted our availability. So coal quality is our number one focus, and Hermann will elaborate as he answers the questions. Then is an issue about cost. And cost for us, you have an interplay between on production and purchasing, and we're going to make those decisions. So we can't tell you exactly which mine is off or how much we're going to buy. That will depend. If you can maintain the coal quality by producing all the coal, we will do that. If we need to buy some coal, we're going to keep that flexibility open because we need to maximize coal quality. We then need to maximize cost and costs can be maximized by either our own production or purchasing. And that's how we think about it on a strategic level. Hermann, you can then go into the details.
Hermann Wenhold: Thank you, Simon. I think it's important that I start by just mentioning that the purpose of the destoning plant is to take stone from the coal feed into Secunda operations. And it's important to note that the destoning plant will take approximately 2 million tonnes of stone out of the coal feed. So that automatically implies that the feed into Secunda will be approximately 2 million tonnes lower. Currently, we are in discussion with Victor and our colleagues at SO. The indication is that, that will reduce the intake of Secunda to approximately 34.5 million tonnes to 35.5 million tonnes per annum, that's 2 million tonnes lower, because we've taken out the rock. So we are planning around the 35 million tonne mark to supply coal into Secunda operations post the implementation of the destoning plant. It's also important to remember that when you do provide less stone or rock into the gasifier, it will make the gasifier more effective, which could also lead to even a further slight reduction in the amount of coal feed that is required to obtain the same output and yields from the gasifier. At this point in time, we are busy with a SIMOPS type project. So we have already started with the construction, as we've indicated, but the Twistdraai export plant is still functioning as an export plant at this point in time and that will continue up to May, whereafter we will shut down the plant, do the relevant tie-ins. And then in the first-half of FY '26, we will then go live or take beneficial operation from a destoning perspective on that plant. The throughput for the plant is designed at 10 million tonnes, so not all coal from Sasol Mining will go through it. And the reason for that is, as Victor indicated earlier on, we need to reach a percentage of sinks or which is then stoned of 12% or lower. And we will be destoning the full Thubelisha coal, and we'll be destoning approximately 25% of the Bosjesspruit coal through the destoning plant. Post the destoning plant, we will have coal with a sinks percentage of approximately 1%. And with our blending facilities, we will then blend that into the current coal blend, and that will then ensure that the sink's content that will go to gasification will be below the 12% level. So we will feed the whole Thubelisha and Bosjesspruit. In parallel with this, we are also investigating other technology, which could be implemented in a modular way to further help with destoning, but that's in the pilot phase. Thank you, Simon.
Simon Baloyi: Thank you, Hermann.
Tiffany Sydow: Okay. I think there's a couple of additional questions around our International Chemicals business. So we'll move to that. I'll ask the next three questions. Question from P.J. Prince Lou from St. Joe. The costs involved to mothball the three chemical assets? Sashank Lanka is asking for clarity on the -- why we have margins -- why have margins underperformed peers? And the EBITDA uplift of $100 million to $200 million, how much is driven from macro and how much from self-help or cost savings? Then quite a few regarding -- from JC Armstrong at Fairtree, but I think centering around the progress that we've made so far and what still needs to be done on the asset review process. And I think a few more around the utilization on our Chemicals America performance and Eurasia. And do we see lower volumes from Chemicals Eurasia as a permanent loss in demand?
Simon Baloyi: Thank you. The questions are all interrelated. So let's ask Antje to just handle them, I mean, in one sweep.
Antje Gerber: Thank you, Simon, and thank you for the questions about the International Chemicals business. So first of all, just to remind, as Walt has also said, our ethylene cracker in the U.S. had been down for eight months last calendar year and started back up only in November, that might kind of give you some background as well in terms of the results compared to peers and others. Obviously, we had some other income through insurance, but that is not covering the full loss of income, which we would have had if we had the east cracker running the entire period. The other question about the self-help. Self-help, we started really our program with those kind of different measures last year in the September, October time frame. So that means that we will see further savings in cost and margin benefits coming in the second-half of this fiscal year. This is why I'm also confident that we will deliver on the $100 million to $200 million. And there are various different levers, which we have addressed. One is the streamlining of the organization, which will give us also kind of a better exchange between the two assets, which we have, for example, between Europe and the U.S. We've seen some best practice sharing already, which has led to some savings in that regard. Operational excellence, commercial excellence are full, up and running. And then the other one is as well, obviously, the asset review, which we are doing currently as said before. We have taken the decision -- the tough decision on three assets, one in Italy, one in Germany and one in the U.S. And we are reviewing our footprint further for other, again, loss and not performing -- loss-making and nonperforming assets in our landscape. So these kind of decisions will be taken in the next months, so to speak. So this is a program which will last. Also you don't switch such or mothball such an asset not from one day to the other. It takes about six months to ramp down. So that means that we will see on those assets where we've taken the decision in the first-half of this fiscal year benefits coming through in the second half of this year. And we expect a fixed cash flow cash -- fixed cost benefit from these measures in the double-digit U.S. dollar EBITDA margin improvement. I think I have answered more or less most questions. One is about the demand in the U.S. and in Europe in general and whether we view that the demand in Europe is stalling or positively developing. Honestly, all of that is speculation. We need to take decisive actions right now on the situation which we have at hand. There may be a change in the landscape in Europe coming down the road. But what we've seen over the last two years, more or less that we said 6 months later, the demand will improve six months later, the demand will improve. We have not seen that in the last years. And therefore, we take now the decisions. Again, mothballing, that means we can reverse our decisions, but we need to stop bleeding and restore our profitability, not only in Europe, but obviously also in our U.S. market, where we see a little bit more of a glimpse of hope in terms of demand development. Back to you, Tiffany.
Tiffany Sydow: Thank you very much. I think there are -- there's one more question. If you have any further questions, would you please go online and put them in the chat box. There's one more question on the ERR from Gerhard Engelbrecht. There seems to be a future focus on boiler turndown, renewables and other feedstocks, which -- what fine coal solutions are you looking at? And is it still briquetting? Simon?
Simon Baloyi: Thank you, Gerhard. You're spot on as briquetting still our primary solution to deal with fine coal, and the teams will continue to assess other solutions as well. I think the key focus for us is going to be on capital efficiency and making sure that we minimize the cost or we choose the most cost-effective solutions. However, as we bring in more renewable energy, the boilers or the coal that was used to produce team, for electricity, we will have to turn those down, and we have to deal with the fine coal. Thank you for your question. You're right. I mean, briquetting is still the primary choice for dealing with fine coal. However, as I stated, the teams are looking at other means to also deal with the fine coal.
Tiffany Sydow: Thank you, Simon. I'm going to check with Chorus Call. Are there any further questions in the queue?
Operator: Yes. We have Gerhard Engelbrecht online from Absa CIB.
Gerhard Engelbrecht: Just on battling just with the mass balance of Synfuels. The previous times, you achieved 7.4 million tonnes, 7.5 million tonnes at Synfuels, you took in a lot more coal, closer to 40 million tonnes. Now you're saying you can probably get there by taking in 34.5 million tonnes to 35.5 million tonnes, but you only taking -- the destoning only takes you back to 12% sinks. So how do I balance all of this out?
Simon Baloyi: Thanks, Gerhard. The coal intake will always, I mean, depend on the coal quality. I think what Hermann was referring to when he was thinking about that 34.5 million tonnes is just for FY '26, it's not the long-term coal that you're going to take in. That, we will continuously assess based on the quality, then it will set what is the volume of coal that you need to take into Secunda. And like Hermann has said, we'll always supplement what you produce with what you buy, I mean, either from Isibonelo or the other contracts that we have to bring in coal.
Gerhard Engelbrecht: Okay, that makes sense. Thank you.
Simon Baloyi: All right. Thank you.
Tiffany Sydow: If there are no further questions online and no further questions on Chorus Call, I will wrap up the session for today. We thank you for your participation on the market call and engaging the management team in questions. We wish you a pleasant day further. Thank you. Good-bye.